Operator: Hello, ladies and gentlemen. Thank you for standing by for LightInTheBox's Third Quarter 2024 Earnings Conference Call. At this time, all the participants are in a listen-only mode. After management's prepared remarks, there will be a question-and-answer session. Today's conference call is being recorded. I will now turn the call over to your host, Ms. Jenny Cai. Please go ahead, Jenny.
Jenny Cai: Thank you, operator. Hello, everyone, and welcome to LightInTheBox third quarter 2024 earnings conference call. The company's earnings results were released via Newswire Services earlier today and are available on the company's IR website at ir.ador.com. On the call from LightInTheBox today are Mr. Jian He, CEO; Ms. Yuanjun Ye, CFO; and Ms. Wenyu Liu, Chief Growth Officer. Mr. He will provide an overview of the company's strategies and the recent developments, followed by Ms. Ye, who will go over its financial results. Following our prepared remarks, we'll open the call to questions. Before we proceed, please note that today's discussion may contain forward-looking statements made under the Safe Harbor provisions of the US Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from the company's current expectations. To understand the factors that could cause results to materially differ from those in forward-looking statements, please refer to the company's Form 20-F filed with the Securities and Exchange Commission. The company does not assume any obligation to update any forward-looking statements except as required under applicable law. Please also note that LightInTheBox earnings press release and this conference call include discussions of unaudited GAAP financial measures as well as unaudited non-GAAP financial measures. Please refer to the company's earnings press release, which contains a reconciliation of the unaudited non-GAAP measures to the unaudited GAAP measures. Now I'd like to turn the call over to LightInTheBox CEO, Mr. He. Please go ahead.
Jian He: Good morning, and good evening, everyone. Thank you for joining LightInTheBox third quarter 2024 earnings call. In the face of an intense competition across the e-commerce industry, in 2024, we made the strategic decision not to chase market share as earning cost. Rather than participating in a race to the bottom, we shift our focus to protecting our margins and enhancing profitability earlier this year. This approach has enabled us to achieve profitability, despite a significant revenue fluctuations as we navigate an incredibly competitive landscape. But that's not the only story. We are transforming LightInTheBox from an e-commerce retailer into a brand-focused apparel designer with the launch of our new brand, Ador.com. Ador isn't just another online store. It's a bold, design-driven venture that reflects our commitment to quality and style. With Ador, we will be crafting proprietary apparel collections and selling them directly to consumers online, allowing us to control quality, brand image, and ultimately profitability. What makes Ador truly exciting is our approach to product development and the customer engagement. With design studios and sample shops in both the United States and the China, including a boutique and design studio in Campbell, California, we are able to gather real-time feedback from customers and refine our collections to meet their preference. We recently hired a talented new designer based in the United States and we are thrilled with their fresh perspectives and the creativity they bring to our team. Our aim with Ador is to offer high-quality clothing at prices 50% lower than similar brands without sacrificing our margins. This direct-to-consumer model is already delivering higher margins, offering an encouraging path to sustainable growth. Unlike traditional retailers, Ador, we are locked via the costs associated with maintaining a physical retail network, which allow us to invest more in the brand's designs and the product quality. In addition to women's clothing, the company is expanding into niche markets with women's golf apparel and a new line of men's clothing to further broaden our customer base. These expansions represent our commitment to building a brand ecosystem around Ador. That resonates with quality-conscious, style-savvy consumers. Beyond fashion, LightInTheBox is also leveraging its team's extensive experience and expertise to offer a comprehensive suite of services to e-commerce companies. This includes advertising, supply chain management, payment processing, order fulfillment, shipping and delivery solutions. These capabilities have been developed through years of refining our processes and now represent another pillar of growth for our business. In summary, LightInTheBox is undergoing a transformative journey. Our legend e-commerce site will remain active, but the heart of our future growth lies in Ador and other house brands as well as our e-commerce services. This shift not only aligns us more closely with our customers but also paves the way for stronger sustainable profitability. With that, I will now hand the call over to Yuanjun to go through our financial results.
Yuanjun Ye: Thank you, Mr. He. Good morning, and good evening, everyone. Before we delve into our financials, please note that unless otherwise stated, all figures are presented in US dollars. In the third quarter of 2024, our total revenues decreased by 63% year-over-year to $57 million, primarily due to intense competition in the global e-commerce industry. Despite this decline, our gross profit was $35 million, compared with $92 million in the same quarter last year. Notably, our gross margin improved to 61% this year, this quarter from 60% in the same period last year. This enhancement is largely attributable to the positive impact of our new product lines, particularly those from Ador.com, which offer higher margins and have been well received by our customers. We achieved a 63% reduction in total operating expenses year-over-year, bringing them down to $34 million from $92 million in the same period last year. This decrease was mainly due to the decline in revenue, complemented by our effective operational efficiency enhancements. Breaking down the operating expenses, fulfillment expenses decreased by 50% year-over-year to $4 million, reflecting our streamlined logistics and supply chain processes. Selling and marketing expenses declined by 67% year-over-year to $25 million. Importantly, the return on investment for our selling and marketing expenses increases, our new product lines demonstrate higher advertising efficiency and customer engagement. General and administrative expenses decrease by 42% year-over-year to $6 million. Within G&A expenses, research and development expenses were $3 million, compared with $5 million in the same quarter last year. We continue to invest strategically in R&D and artificial intelligence as we view these areas as central to our product differentiation and operational efficiency efforts. As a result of these measures, we maintained profitability in the third quarter, recording a net income of $0.3 million compared to $0.1 million in the same quarter last year. Our adjusted EBITDA was $0.8 million consistent with the third quarter of 2023. Looking ahead, we will continue to prioritize efficiency and profitability improvement with our strong focus on the growth and development of our new initiatives, including our new brand operations and comprehensive service offering for e-commerce companies. We remain dedicated to pursuing high-quality development and delivering value to our shareholders. This concludes our remarks. We are now open to your questions.
Operator: Thank you. [Operator Instructions] As there are no questions, now, I'd like to turn the call back over to the company for closing remarks.
Jenny Cai: Thank you once again for joining us today. If you have further questions, please feel free to contact LightInTheBox Investor Relations through the contact information provided on our website or Piacente Financial Communications. Have a great day.
End of Q&A: